Operator: Good day, ladies and gentlemen, and welcome to the SS&C First Quarter 2016 Earnings Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Ms. Justine Stone. Ma'am, you may begin.
Justine Stone: Hi, everyone. Welcome and thank you for joining us for our Q1 2016 earnings call. I'm Justine Stone, Investor Relations for SS&C Technologies. On the call with me today is Bill Stone, Chairman and Chief Executive Officer; Norm Boulanger, President and Chief Operating Officer; Rahul Kanwar, Senior Vice President and Managing Director of Alternative Assets; and Patrick Pedonti, Chief Financial Officer. Before we get started, we need to review the Safe Harbor statement. Please note that various remarks we make today about the future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, May 5, 2016. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I will now turn the call over to Bill.
William C. Stone: Thanks, Justine. SS&C reported record adjusted revenues of $343 million in the first quarter of 2016, adjusted diluted earnings per share of $0.74. Integration is going smoothly on the Advent, Primatics and Varden acquisitions and their pipelines are robust. On March 11, we closed Citi Alternative Investor Services, giving us $187 million in annual run rate revenue, 265 clients across the world and 1,400 professionals in North America, Europe and the Asia Pac. Mike Sleightholme and Joe Patellaro who run the hedge and private equity businesses are very capable executives, experts in their fields, and we expect the integration goals will be on track for the next couple of years. We also announced three executive hires in recent months, individuals with proven track records and fresh perspective to add to our management team. As we often say, management matters and we are excited to extend the bench to these talented individuals. Ron Tannenbaum has been appointed as Managing Director of Business Development for Alternatives in Europe and was an original partner and co-founder of GlobeOp prior to our acquisition of them in June of 2012. Stephanie Miller is Senior Vice President and Managing Director and joins SS&C after heading up JPMorgan's fund administration business for the last several years. Stephanie brings nearly 15 years running top fund administration businesses and will focus on developing and implementing solutions for the largest global fund managers. Adam Hall, founder of Nervanix, a neuroscience and education company joins us as Senior Vice President of Global Training and Learning Solutions and will help SS&C accelerate the next generation of learning solutions. So, as we expand our management team, integrate the Advent, Primatics, Varden and Citi Alternative Investment Services acquisitions and move into larger space in our Evansville, Indiana operation center, we are primed for growth. Now I will turn it over to Norm to take you through some of the operational highlights for the quarter.
Normand A. Boulanger: Thanks Bill. SS&C was able to secure several key wins and meet operational goals for the quarter. Advent had their most profitable Q1 ever, achieved through a combination of strong sales and lower cost base. Primatics has dramatically increased their sales pipeline three times by leveraging the SS&C sales organization and cross-selling across our contacts and client base. We're also working on product extensions and integration between Primatics' EVOLV and our mortgage and bank loan services. We also had several product upgrades announced in Q1. HiPortfolio's latest release has enhanced automation features and improved integration with other systems. Precision LM, our cloud-based loan origination and servicing solution had a comprehensive support for residential home loan accounting, will be the underlying platform for our residential home loan accounting services. SS&C Advent also rolled out next generation solutions for Black Diamond, Geneva and APX. We have significantly advanced Black Diamond's reporting and client communications experience. The new feature's aimed to empower the advisors, tell their story through reporting and digital content encompassing total network, income generation, planning and goal setting. These enhancements helped Black Diamond earn the Best Client Communication Solution title at the 2016 Family Wealth Report Awards. The latest release of Geneva platform adds new operational workflows and efficiencies and embodies the combined effect of the recent Advent acquisition, technology experts from both sides of the business coming together for the benefit of joint fund administration clients. I'd like to review some of the key deals for Q1. An $8 billion asset manager chose a suite of SS&C Advent product including APX, Moxy, and Revenue Center as a hosting solution. SS&C won the business of a $50 billion institutional asset manager to host Geneva. The current Geneva fund administration client expanded their relationship with SS&C license and e-Investor, our end-to-end investor transaction processing platform. A large real estate investment manager chose SS&C's Precision LM mortgage software as a hosting solution. Auto insurance carrier licensed a suite of SS&C products including CAMRA, our investment accounting platform, our performance and performance attribution system, reconciliation, and Antares, our trade order management system. This will be delivered on a host of solutions. Two West Coast-registered investment advisors replaced a competitor solution with integrated Global Wealth Platform. A wealth manager chose to outsource with Black Diamond because of our trust interface and strong integration with Charles Schwab. And finally, a family office chose to outsource with Black Diamond because of our superior performance reporting and flexibility with asset scheme. I will now turn it over to Rahul to discuss the Alternatives business.
Rahul Kanwar: Thanks, Norm. SS&C's Alternatives business saw a 14% increase in revenue for the first quarter of 2016 compared to the same quarter in 2015. During the quarter, we closed the acquisition of Citi's Alternative Investor Services business which provides hedge and private equity fund administration. Initial client feedback has been positive. We also recently completed the upgrade of the hedge fund services group to the latest version of Advent Geneva, their first major upgrade in several years. We are well on our way with integration and have a lot of confidence in the ability of Michael Sleightholme, Joe Patellaro, and their management teams. Our Private Capital Group is gaining traction. In this quarter, we signed on to provide services for one of the largest foundations in the country. Traditionally handled by the custodian banks, SS&C offers an exciting alternative for family offices, foundations, and endowments with better technology and more expertise in alternative investments. Shortly after quarter end, Kwang Sin (08:24), a long-tenured senior executive of Primatics assumed the role of General Manager of the Primatics business unit. Guang and his management team are charged with driving Primatics' growth and strategy forward. Key deals for Q1 2016 include a multibillion dollar foundation chose SS&C over their current custodian to co-source their back office accounting and operations. A newly founded investment firm, aiming to allocate pension plan assets to similar alternative funds to smaller alternative funds ranging from $250 million to $1 billion in assets, selected SS&C for fund administration. We were chosen to provide middle and back office fund administration for a hedge fund focusing on commodities. This was a competitive takeaway from a large investment bank. A startup hedge fund chose SS&C for fund administration, regulatory solutions, financial statements and performance and attribution. A large UK-based investment firm signed on with SS&C for fund administration, regulatory compliance and tax services for four of their strategic funds. I will now turn it over to Patrick.
Patrick J. Pedonti: Thanks, Rahul. Results for the first quarter of 2016 were GAAP revenue of $324.1 million, GAAP net income of $7 million, and diluted EPS of $0.07. Adjusted revenue was $343.1 million, excluding the adjustment for the acquired deferred revenues for the Advent, Varden, and Primatics acquisitions. We had a strong quarter. Adjusted revenue was up 66.5%, we expanded operating margins to 39.4% and diluted EPS was $0.74, up 23% over 2015. Adjusted revenue increased $137 million or 66.5% in the quarter. Advent contributed $107.9 million of adjusted revenue in the quarter, and the other three acquisitions including Varden, Primatics, and 20 days of the Citi fund administration business contributed $27.5 million combined. Foreign exchange had a negative impact of $3.1 million or 1.5% in the quarter and organic growth on a constant currency basis was 2.2% for Q1. On a pro forma basis, the acquisitions including Advent, Primatics and Varden combined had revenue growth of 5.8% in Q1. Adjusted operating income was a $135.2 million, an increase of $57.8 million or 75% from first quarter of 2015. Operating margins increased to 39.4% from 37.5% in Q1 2015. Operating margins continue to expand in our core businesses and remain strong at Advent. The Primatics and Citi acquisitions temporarily adversely impacted margins but we expect them do improve over the next four quarters. Advent had 47% operating margins and annual run rate synergies of $38.1 million. Adjusted EBITDA – adjusted consolidated EBITDA was $141.6 million or 41.3% of revenue. It increased $60.3 million or 74% from 2015. Net interest expense for the quarter was $33.1million, and includes $2.7 million of non-cash amortized financing cost and OID. The average interest rate in the quarter including the notes was 4.35%. We recorded a GAAP tax provision of $8.5 million or approximately 54% of pre-tax income. The provision included a one-time deferred tax charge of $5.7 million for the impact on state taxes as a result of the Citi acquisition. We expect the GAAP effective tax rate to be between 20% and 22% for the full year and we continue to project our tax rate for adjusted earnings to be between 27% and 29% for the full-year 2016. Adjusted net income was $75.4 million, and EPS was $0.74. Adjusted net income excludes $49.7 million of amortization of intangible assets, $15.3 million of stock-based compensation, $1.2 million of acquisition deal costs, $2.7 million of non-cash debt issuing costs, $1.8 million of severance pay related to the Advent and HPA reductions, $0.5 million of capital-based taxes and $2.6 million which is mostly related to FX translation of certain balance sheet items and the effective tax rate we used for adjusted income was 28%. On the balance sheet and cash flow, as of March 31, we had $101.8 million in cash on the balance sheet and $2.790 billion of gross debt for a net debt position of $2,688 billion. Operating cash flow for the three months ended March 16, 2016 was $18.6 million, a $12.5 million decrease from 2015. Cash flow in the first quarter was impacted by our annual employee cash incentive payment, increase in cash interest payment mainly due to the $17.5 million of semi annual bond interest that's due in the first quarter and an increase in accounts receivable. Highlights for the quarter is, we paid $29.8 million of debt and a total of approximately $290 million in the last three quarters since we closed the Advent acquisition. We used $5 million for capital expenditures and capitalized software. In the quarter, we paid $40.8 million in interest expense compared to $4.6 million in 2015. Cash tax payment in the quarter were $5.1 million. Our accounts receivable DSO was 61 days as of March 2016, was adversely impacted by acquired receivables in the Citi acquisition. And if you exclude the Citi receivables, the DSO was 55 day as of March 2016. For the Citi acquisition, we paid a net amount of $318 million and that's net of cash acquired in the acquisition. That acquisition closed of March 11. On financing activities, proceeds from option exercises was $7.6 million, and the tax benefit related to the option exercise was $8.2 million. And we issued – our dividend in the first quarter was $12.4 million. LTM consolidated EBITDA, which we use for our covenant compliance was $585.3 million as of March and includes $83.1 million of acquired EBITDA and cost savings related to the acquisitions. And based on the net debt of $2.7 billion, our total leverage as of the end of March was 4.6 times. On our current outlook for the full-year 2016, our current expectation is that adjusted revenue will be in the range of $1.505 billion and $1.535 billion, and adjusted net income in the range of $321 million and $337.5 million, and diluted shares for the full year between $102.6 million to $103.3 million. We've assumed that we'll achieve about $38 million to $40 million of synergies with the Advent acquisition for the full year. And our adjusted operating margins for the company will be between 37.5% and 38.2% of revenue, which includes the impact of the Citi acquisition. For the full-year 2016, we expect cash from operating activity to be in the range of $375 million to $390 million, and capital expenditures to be between 2.5% and 2.8% of revenues. For Q2, we currently expect revenue to be between $378 million to $384 million, adjusted net income between $76 million and $78.5 million, and diluted shares between 102.5 million and 103 million for the quarter. And now I'll turn it back over to Bill.
William C. Stone: Thanks, Patrick. We grew organically, 2.2% this quarter, and Advent, Primatics and Varden grew about 6%, 7% and 5% respectively. The Citi acquisition has gone extremely well in the last two months and we are seeing opportunity around the globe. The acquisition pipeline is robust and we are generating lots of cash. We are guiding for more growth and our market and financial position continues to grow stronger. We'll now open it up for questions.
Operator: Thank you. . And our first question comes from the line of Chris Shutler with William Blair. Your line is now open.
Andrew Nicholas: Hi, thank you. This is actually Andrew Nicholas filling in for Chris. I think first off I just wanted to dive in a little bit to the guidance, just curious if you could provide what your organic growth expectations are for both second quarter and the full year. And then also if you wouldn't mind updating on what is included in terms of Citi?
Patrick J. Pedonti: Sure...
William C. Stone: Patrick, do you want to take that?
Patrick J. Pedonti: Yeah. I'll take that, Bill. So, first for the full year, we expect organic growth for the full year to be somewhere between 4% and 5.5% for the full year based on the range in our guidance. We currently are estimating that the Citi acquisition will contribute approximately $150 million of revenue for the full year, including $11.5 million, which we had in Q1. On Q2 we've got – we do have a difficult comp on the license revenue because in Q2 of last year we had one-time extraordinary license of $6.5 million. So, that's had a negative impact on our organic growth, but currently, we think organic will see a little bit of a decline somewhere between 3.5% and 2.5% and that's mostly due to that $6.5 million of extraordinary license we had in Q2 last year.
Andrew Nicholas: Okay that's helpful. So, with that said, just kind of if you're maintaining the 4% to 5.5% organic growth for the full year, just curious if you could maybe talk about what factors will help you reaccelerate organic growth in the back half of the year and how much of that has to do with Advent's success and if you can provide any additional color on Advent's quarter and how that outlook is looking that will be helpful. Thank you.
Patrick J. Pedonti: Well, I think Advent grew about 6% in Q1 and I think if you look at Q1 on a pro forma basis, if you include the acquisitions and you compare it to the prior year, I think the total company grew about 3.5% in Q1. So, clearly we think that Advent's going to become organic in the second half of the year. We expect them to continue growing or accelerate a little bit in the second half and we currently expect to see some improvement in our Alternatives business in the second half and that'll help increase organic growth.
Normand A. Boulanger: And this is Norm. In addition to that, we're obviously investing heavily in our sales organization and we are seeing some strength in some of the pipelines of our business like the high portfolios solutions' got a relatively strong pipeline that's building up. And the cross-sales effort that out team is underway for all these new acquisitions, we think will start to pay more dividends in the second half of the year.
Andrew Nicholas: I appreciate it, thank you.
Operator: Thank you. And our next question comes from the line of Mayank Tandon with Needham & Company. Your line is now open.
Mayank Tandon: Thank you. Bill, just on Citi, could you once again remind us of how does it help diversify your exposure across various asset classes and also has it given you now maybe even more scale to complete on larger opportunities? And finally, I'd love to get a sense of the synergies from Citi, what are some of the levers you're pulling to generate those cost synergies to get the margins potentially up to your corporate average over the next, I believe, you've said three years?
William C. Stone: Yeah, Mayank. I think that what we've gotten with Citi is $185 million, $190 million of revenue, 1,400 people spread out across Asia, Europe and North America, and 265 clients and we really have a nice client base in private equity in the Asia Pacific region, which is a reasonably quick growing region of the world. We also get some real talent from both Joe Patellaro and Michael Sleightholme. And for instance, we have a pretty strong footprint in India and Nandini Sankar, who runs that for us, was able to go to Gurgaon and lease space, build it out, and start moving people. I think we moved 150 people into our Gurgaon office, our employees and we plan to have about 400 employees there and those 400 employees will replace 500 people that currently are contractors to Citi. So contractors for Citi, I think, on a all-in basis were about 35,000 a year and all-in employees of SS&C are about 17,000. So, that's just one example of upwards $9 million, $10 million where we'll get almost immediate synergy coming from that. Obviously, we've had to move quickly, we have people training those people that came in but we have very good processes that are controlled in a very great way. And Nandini's done a great job for us and I know Rahul has been able to stay on top of that as well and I just think that when you add that we're going to now have 2,500 employees in India, as well as 200 employees in Beijing, a strong office in Melbourne with PST, a strong office in Bangkok, a strong office in Hong Kong and in Singapore. I think what we have is this footprint that is getting increasingly known. And in Asia Pacific, Citibank is a really big player. And so, when we buy something from Citi, we get a lot of publicity and we get our name known. And I think that's going to help us, we're bringing in this expertise like Ron Tannenbaum and Stephanie Miller and that gives us insights into how other large scale fund administrators such as JPMorgan and Citco, both of which Stephanie had senior roles at and I just think that our knowledge and our capability, Mike and Joe and I just think that we have a really strong team. We had our entire senior team from fund administration in New York last week and that went extremely well. We have wonderful products and services being delivered whether that's FATCA or Form PF or AIFMD, NX4 (26:07) or a number of other things, and so I think our position and our financial strength is something that's really going to allow us to move the Citi into a very, very nice acquisition that will accrete quite nicely into our earnings.
Mayank Tandon: That's very helpful, just to be clear, are you still modelling the 15% EBITDA margin goal for fiscal 2016 and then is the goal still 40% three years out on the Citi transaction through synergies.
William C. Stone: I believe those are the numbers, Mayank. I don't think we've changed those. I think maybe we have gotten more confident.
Mayank Tandon: Great, one last sure.
Patrick J. Pedonti: Yeah, those numbers are correct for this year and our target, longer term.
Mayank Tandon: Thanks. One last one, Patrick. Did I hear you right, you said that Q2 organic constant currency growth will be down 3.5% to 2.5% relative to 1Q?
Patrick J. Pedonti: Relative to 2Q 2015.
Mayank Tandon: Got it.
Normand A. Boulanger: Thank you.
Operator: Thank you. And our next question comes from the line of Sterling Auty with JP Morgan. Your line is now open.
Unknown Speaker: Hi. This is (27:30) in for Sterling. Thanks for taking my question. Just a quick follow-up on the cost synergies from all your acquisition actually, how do you characterize the realization of cost synergies based on your plan so far?
William C. Stone: Well, we're going to be – yeah, go ahead, Patrick.
Patrick J. Pedonti: Yeah, I'm not sure I totally heard your question. But yeah, our target for Advent was $45 million, we're running at about $38 million right now.
William C. Stone: That's $45 million over three years.
Patrick J. Pedonti: $45 million, yeah at the end of three years, that's our target, so that would be – so, already we're running at $38 million after three quarters. Obviously, the next $7 million is tougher, we've had to consolidate facilities and consolidate data centers or eliminate third party software expenses, this is the stuff that takes a little bit longer, but we're obviously very confident now, hitting our target probably earlier than we expect. On the DST acquisition, I think, we've owned them over a year now and our final synergies on that business was about $15 million.
Unknown Speaker: Okay. And then to just follow up on macro regarding your revenue guide, how much worse would the market need to go before there's a cut in your estimates? Thank you.
William C. Stone: Well, I mean, I don't think that we are nearly as exposed to certain markets as some of the analysts and share owners believe, right. I think that we have explained any number of times that I think our exposure to equities as defined by the S&P 500 is about 14% of our fund administration business, which is about half of our business which would put us at about 7% of our revenue would be directly exposed. So, I think that we're in pretty good shape. Obviously, if you have another global financial crisis then we'll have to reevaluate and come out, we're very transparent but there's no – we don't have any better crystal ball than you do but we have a great business, we've got great clients and we believe we have the best franchise in our businesses.
Unknown Speaker: Okay, thank you.
Operator: Thank you. And our next question comes from the line of John DiFucci with Jefferies. Your line is now open.
Alexander Joseph Ljubich: Hey guys, this is AJ Ljubich on for John. Following up on that, I know, Bill, for some time you guys have been saying you're about 14% directionally exposed to equities. Since the Citi deal has closed, have you guys sort of refreshed that and is it still a relatively consistent directional exposure?
William C. Stone: I mean, I would say yes. I don't know if Rahul would comment. I think that their client base is pretty similar to our client base, they have large funds that are credit-based funds and commodity-based funds and a big, big business in private equity. Rahul would you have a comment?
Rahul Kanwar: Yeah, Bill, I'd confirm that. I think, in general, the Citi business is more heavily weighted towards private equity so it increases our total percentage of private equity across the business and that obviously reduces the exposure to the public equity markets.
Alexander Joseph Ljubich: Great, thank you. And just a quick follow-up, do you guys have an AUA estimate as of the end of the quarter?
Rahul Kanwar: Yeah, it's 1.06 trillion.
Alexander Joseph Ljubich: Thank you.
Operator: Thank you. And our next question comes from the line Rayna Kumar with Evercore ISI. Your line is now open.
Rayna Kumar: Good evening. Your organic revenue growth target for the year implies 7% to 8% organic gains in the second half. I guess besides Advent anniversarying, why do you expect organic revenue to step up so aggressively?
William C. Stone: Well again, Norm mentioned that we have an increasingly strong sales force, we're getting a lot more cross-sales that are beginning to roll into our business and we believe that not only has, will you get Advent accelerating, but I believe Advent has some reasonably attractive comps coming into Q3 and Q4 and we think we'll be able to accelerate that as well as bringing out, we have a whole suite of new products and services. We have a very capable, I believe, the best sales force in the industry and I think that it is something that we believe is quite achievable.
Rayna Kumar: Great, that's very helpful. And can you discuss...
Patrick J. Pedonti: The other sort of thing also is that we're seeing our retention rates improve over last year so that's going to start helping us out. If you look at last year, I think, our retention rates' around a little above 94% and we're now running a little above 95% so that should also help us out in the second half of the year.
Rayna Kumar: Understood, and could you also discuss your acquisition pipeline and what kinds of acquisition you're seeing out there
William C. Stone: Yeah. I mean, we're seeing acquisitions where we can buy technologies, financial technologies that complement what we have today and we also are seeing fund administrators that are coming up for sale. As you know, SS&C has been a consistent and successful acquirer of both sets of those types of companies and it's something that we're are ready.
Rayna Kumar: Do you still expect Advent's adjusted EBITDA margin to expand to 50% plus margins and if so what is your timeline for that?
William C. Stone: Well, again, I think that what you find is that Advent's gross margin is – runs at about 70%. And I think SS&C's gross margins run at mid 50%s, may be a little higher than mid 50%s. And as we institute some of our business processes, as we start leveraging the expertise that is embedded in SS&C to help build out the platform of Advent Geneva and other products and services as Varden is used to really help the Advent direct alpha clients that we're hoping to move to Varden and have begun that process, we think there's great opportunity to exceed 50% and again, it's just – we're not being precipitous. We're going to make sure we take care of our clients and we take care of our people. We're going to view it as a long-term goal and we're going to achieve it.
Rayna Kumar: Thank you.
Operator: Thank you. And our next question from the line of Ashish Sabadra with Deutsche Bank. Your line is now open.
Ashish Sabadra: Thanks. Just quickly going back to the second quarter organic growth guidance, Patrick you also mentioned like a $6.5 million difficult comps associated with license revenues in second quarter 2015, but if you exclude that, is there a way to think about organic growth even excluding that like if do – sorry go ahead.
Patrick J. Pedonti: If you exclude that one-time license and you did a comparison, basically organic growth is around flat to up maybe a tiny bit depending on the range we're at for Q2.
Ashish Sabadra: Sure. So, maybe my question was the organic growth was 2% in the first quarter, why is it moderating to flat in the second quarter, is that just conservatism there or are there other things weighing on the organic growth in the second quarter?
Normand A. Boulanger: There's a couple of factors, right? Obviously, we have to execute on sales but one of the factors is the revenue fluctuation relative to tax and common services over the course of the first quarter versus the second quarter. So, the timing of that has an impact on the growth.
Ashish Sabadra: Okay, that's helpful. And just quickly on the Alternatives business, the 14% growth, is there a way to think about – I believe that includes Citi as well, is there a way to think about that number excluding City, like how does that compare to the 5%, 5.5% that we saw in the fourth quarter of 2015?
Patrick J. Pedonti: I'm sorry, I didn't understand the question.
Ashish Sabadra: The Alternative businesses revenue grew 14% and does that include Citi and is there was way to...?
Patrick J. Pedonti: That does include Citi.
Ashish Sabadra: And is there a way to think about what the organic – or the growth there would be so that we can compare that against the 5.5% we saw in the fourth quarter, is there a way to compare that?
Patrick J. Pedonti: I think the Alternatives business organic growth was around 5% in the first quarter excluding acquisitions.
Ashish Sabadra: And then just quickly, Patrick, you mentioned that the retention levels have gone up. How should we think about the Alternatives organic growth progressing through the quarters?
Patrick J. Pedonti: Through the second half of the year?
Ashish Sabadra: Yeah, Yeah.
Patrick J. Pedonti: Yeah. Well, I think, I mean if you look at Q1 and you look at a pro forma basis if you include all the acquisitions except for Citi, all right? Because it was only a partial quarter. I think I said we grew 3.5% in Q1, so I think – so when we look at the second half of the year, to hit our targets for the year, we got to grow 6% to 7% in the second half of the year and if we're running at 3.5% right now and we get an uplift on retention of a percent and then we get some improvement in the Alternatives business and some of the asset management business that is basically how we think we get there in the second half of the year and when we look at our opportunities and our pipeline and how well some of the acquisitions are doing, specifically, Advent then that's how we are comfortable we can hit those targets in the second half of the year.
Ashish Sabadra: Okay. Thanks for the color.
Operator: Thank you. And our next question comes from the line of Brian Essex with Morgan Stanley. Your line is now open.
Brian L. Essex: Hi, good afternoon, and thank you for taking the question. I was wondering if you could touch first on the Citi customer base and attritions within that base and how you're progressing and stabilizing that attrition?
Rahul Kanwar: Sure. I'll take that. I think in general, there were some customers that were not included as part of the deal in the sense that while this business was in the process of being sold, there were customers that had done market searches and decided to move away, so they're not included in what we acquired. Since that point, attrition has been – or retention has been very, very strong. We're in constant contact with the customers. There's been very little, if any, retention and as Norm said earlier, we're seeing opportunities to be able to grow into that client base with additional products and services.
Brian L. Essex: And is there is a way to think about when you acquire a business like this, what you do differently that adds value incrementally over the way that may be a Citi or other large financial institution viewed that business as part of its larger organization?
Rahul Kanwar: I think for us it's a few different things, right. It started with, I just said, we were in constant contact with customers, right.
Brian L. Essex: Right.
Rahul Kanwar: So, this is a very incredibly customer-focused place. We're talking to them. We're taking away their input and we're trying to use that to improve their experience. I think the other thing is we get a lot of leverage from the ownership of technology, a lot of what impacts satisfaction and the customer experience is how quickly you can deploy new functionality and how quickly you can enhance and improve current functionality. And that obviously is one of our stronger points. So, I think a combination of that and plus this is an important business for us and it gets a lot of focus, all those things go to making it run better and run smoother and we've got a really good quality management team that we inherited with the Citi acquisition in particular. And so, supporting them and empowering them and letting them perform are all things that are helpful in that process.
William C. Stone: And also I think that if you look at our overall revenue, the fund administration business in SS&C's overall revenue is about $750 million out of $1.5 billion. If you look Citi Corps' overall revenue, it's about $19 billion and this was a $200 million business, right. So, $50 million a quarter in revenue on a $4.8 billion or so revenue stream doesn't get a lot of management attention, whereas in our business, out of the $380 million we do in the second quarter, $190 million of it is going to be from fund administration services.
Brian L. Essex: Right.
William C. Stone: So, you can imagine the focus it gets.
Brian L. Essex: Very helpful and maybe if I can sneak in one last one. What we give you is one of the levers for kind of hitting your guidance targets for the remainder of the year, what gives you confidence around the alternatives business that you're going to see improvement there enough to move the needle?
William C. Stone: I think we have a really robust pipeline, right. And we have, knock on wood, great opportunities in which to grow our business. We have won a lot of business both in the fourth quarter and in the first quarter and we believe that those dollars that are going to start flowing through our business as people raise capital, launch there funds and also view us as a great alternative to the current fund administrators.
Brian L. Essex: Okay, great. Well, thank you very much.
Operator: . And our next question comes from the line of Crispin Love with Sandler O'Neill. Your line is now open.
Crispin Love: Thanks. Good evening. Looking at the monthly GlobeOp forward redemption numbers, it suggest the hedge funds are not facing increased redemption as recent year-on-year comparisons have been favorable. I find this somewhat surprising given the recent market volatility in 4Q 2015 and 1Q 2016. Is there anything in the GlobeOp sample that may cause it to differ from the broader market of hedge funds?
Rahul Kanwar: We don't think so, if anything it might trend a little bit towards larger more multi-strategy, more complex, right. And as we've talked about, as Bill mentioned with the equity exposure comment, those types of funds tend to be less correlated to the equity markets and therefore, the redemptions, et cetera, don't track the markets quite as closely.
Crispin Love: Okay, thanks. And a follow-up on that, are you seeing any signs of concern among investors in hedge funds or other alternative assets?
Normand A. Boulanger: We are not, no.
Crispin Love: Okay, thank you.
Operator: Thank you. And I'm showing no further questions at the time. I'd like to turn the conference back over to Mr. Bill Stone for any closing comments.
William C. Stone: Once again, we had a great quarter in Q1 and I'm here in Evansville, Indiana where we just did a ribbon cutting at our new facility in Sterling Square. And then we had Governor Pence and Mayor Winnecke with us. There's a lot of momentum here. We are excited about what our opportunities are and we look forward to talk with all of you after Q2. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.